Operator: Hello, ladies and gentlemen. Thank you for standing by for LightInTheBox's Second Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. After managements prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Ms. Jenny Cai. Please go ahead, Jenny.
Jenny Cai: Thank you, Operator. Hello, everyone, and welcome to LightInTheBox second quarter 2023 earnings conference call. The company's earnings results were released via Newswire services earlier today and are available on the company's IR website at ir.lightinthebox.com. On the call from LightInTheBox today are Mr. Jian He, Chairman and CEO; Ms. Yuan Jun Ye, Chief Financial Officer; and Mr. Wenyu Liu, Chief Growth Officer. Mr. He will provide an overview of the company's strategies and recent developments, followed by Ms. Ye, who will go over its financial results. Following our prepared remarks, we'll open the call to questions. Before we proceed, please note that today's discussion may contain certain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from the company's current expectations. To understand the factors that could cause results to materially differ from those in forward-looking statements, please refer to the company's Form 20-F filed with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Now I'd like to turn the call over to LightInTheBox Chairman and CEO, Mr. He. Please go ahead.
Jian He: Good morning, everyone. Thank you for joining our second quarter 2023 earnings conference call today. We are pleased to deliver a strong operational and the financial performance for the second quarter. Amid a complex macro environment, we achieved the highest quarterly revenue in our history, primarily driven by apparel sales growth of 50% over one year ago. Meanwhile, our efforts to enhance operating efficiency paid off, evidenced by improved profitability with fulfillment and G&A expenses as a percentage of revenue at an all-time low. Furthermore, our cash balance was $95 million as of the end of this quarter, illustrating our robust free cash flow generation ability. Our mission is to create a better lifestyle for consumers worldwide by offering quality products at attractive prices with a convenient and modern online shopping experience. To position ourselves for success in the highly competitive apparel retail markets, we leverage our expertise and tech capabilities to continually refine and develop our brand portfolio. Recently, we refreshed our core brand values to gain traction with existing and new customers. First, embrace individuality. Everyone is unique and irreplaceable. Thus, we are dedicated to empowering our customers to ready their confidence through our clothing, regardless of their race, age, or body shape. Second, self-inspiration. We strive to curate a diverse fashion experience. The reason is our consumers' personal style. Third, colorful. Vibrant colors always bring joy and confidence to our target audience. And the last but not least, environmental [coefficient]. The concepts made to order and the data driven leads our design philosophy as we try our best to create a balance between fashion and the environment. We believe these ideas generate strongly reach our target customers and allow us to engage them on a deeper level. In addition, our data analysis capabilities empower us to timely capture consumers' preferences and needs. Our in-house design team is international fashion credential and designs fashionable, specially tailored apparel according to those dynamic customer desires. Furthermore, our supply chain system ensures speed product output and standards. And our strong fulfillment system facilitates a smooth and satisfying shopping experience for consumers. What's more? We conduct each step in the process with maximum efficiency through our advanced technologies improving our overall operation efficiency. As we move into the third quarter 2023, we are seeing the macroeconomic turbulence together with normal seasonality in the apparel sector is impacting our top line performance. Nevertheless, we will continue to execute our proven business strategy and hone our core competitive advantages to navigate the evolving market as we strive to deliver sustainable long-term value to all our stakeholders. With that, I will now hand the call over to Yuan Jun to go through our financial results.
Yuan Jun Ye: Thank you, Mr. He. Let me start with our financial highlights for the quarter. In the second quarter, our total revenues increased by 44.9% year-over-year to $191.8 million. Revenues from apparel continue to exhibit strong growth momentum of 50.1% year-over-year to 163.2 million, representing 85.1% of total revenue compared with 82.1% in the same quarter of 2022. Furthermore, gross margin improved to 57.5% from 55.3% a year ago thanks to the growth in apparel sales, which generally carried higher margins. Total operating expenses were $111.8 million compared with $75.6 million during the same quarter of 2022. We will continue to focus on operational optimizations to promote profitability as we move through the third quarter. Selling and marketing expenses were $94 million, an increase of $35.8 million year-over-year due to our continuing investment in building our brand awareness and driving top-line growth in the face of macroeconomic headwinds. Fulfillment expenses were $9.9 million compared with $7.8 million during the same quarter of 2022. G&A expenses decreased by $1.5 million year-over-year to $8.2 million in the second quarter of 2023. As part of G&A expenses, R&D expenses were stable at $5.1 million on a sequential quarterly basis. As a result of our continuous efforts to enhance operating efficiency, fulfillment expenses and G&A expenses were 5.2% and 4.3% of total revenues, respectively, compared with 5.9% and 7.3% respectively a year ago. Meanwhile, we continue to make quality investments in our technical capabilities to further improve user experience. Given the factors I just mentioned, our net loss for the second quarter narrowed to $1.5 million from $2.4 million in the same quarter of 2022. In terms of our balance sheet, as of June 30, 2023 we had cash and cash equivalents and restricted cash of $94.6 million compared with $65.7 million a year ago and $73.6 million in the preceding quarter. We also minimized our inventory levels leveraging our environmental consciousness, philosophy, and make-order and data-driven strategies to optimize inventory in an environmentally conscious manner. Furthermore, we are dedicated to enhance value for our shareholders on June 27, 2023. Our Board approved a share program under which the company may repurchase up to 10 million of the ordinary shares in the form of ADS, no later than December 31, 2023. As of December 12, 2023 we have repurchased approximately 0.5 million ADS totaling USD0.7 million. Finally, to our third quarter 2023, guidance based on information currently available and business seasonality, we expect net revenues to be between $145 million and $160 million. To sum up, we will continue to focus our core growth strategy while refining our operations to enhance efficiency and improve profitability. While we do foresee our growth to moderate in the third quarter given external factors, we believe our solid business fundamentals will support us in executing our strategy and exploring new opportunities ahead of us. As always, we are dedicated to creating long-term value for our shareholders. This concludes our prepared remarks and we will be happy to take some questions. Operator?
Operator:
Jenny Cai: Thank you once again for joining us today. If you have further questions, please feel free to contact LightInTheBox Investor Relations through the contact information provided on our website or Piacente Financial Communications. Have a great day.